Operator: Good day, and thank you for standing by. Welcome to Ultralife Corporation Second Quarter 2024 Results Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. It is now my pleasure to hand you over to our first speaker today, Jody Burfening, Managing Director of LHA Investor Relations. Please go ahead.
Jody Burfening: Thank you, Evelyn, and good morning, everyone, and thank you for joining us this morning for Ultralife Corporation's earnings conference call for the second quarter of fiscal 2024. With us on today's call are Mike Manna, Ultralife's President and CEO; and Phil Fain, Ultralife's Chief Financial Officer. The earnings press release was issued earlier this morning, and if anyone has not yet received a copy, I invite you to visit the company's website, www.ultralifecorp.com, where you'll find the release under Investor News in the Investor Relations section. Before turning the call over to management, I would like to remind everyone that some statements made during this conference call contain forward-looking statements based on current expectations. Actual results could differ materially from those projected as a result of various risks and uncertainties. The potential risks and uncertainties that could cause actual results to differ materially include uncertain global economic conditions, reductions in revenues from key customers, delays, or reductions in U.S. and foreign military spending, acceptance of our new products on a global basis, disruptions or delays in our supply of raw materials and components due to business conditions, global conflicts, weather or other factors not under our control. The company cautions investors not to place undue reliance on forward-looking statements, which reflect the company's analysis only as of today's date. The company undertakes no obligation to publicly update forward-looking statements to reflect subsequent events or circumstances. Further information on these factors and other factors that could affect Ultralife's financial results included in the company's filings with the Securities and Exchange Commission, including the latest annual report on Form 10-K. In addition, on today's call, management will refer to certain non-GAAP financial measures that management considers to be useful and differ from GAAP. These non-GAAP measures should be considered supplemental to corresponding GAAP figures. With that, I would now like to turn the call over to Mike. Good morning, Mike.
Mike Manna: Thank you. Good morning. Welcome to our call on Ultralife's Q2 operating results. Earlier today, we reported Q2 sales of $43 million and operating income of $3.9 million, the third consecutive quarter of $42 million or more in sales and $0.18 of EPS. Battery & Energy Product sales increased 8.3% over Q1 to the highest revenue level ever for the segment. Our combined gross margin continued to be strong at 26.9% compared to 24.8% a year ago as our gross margin improvement projects continue a top priority. Our top 3 initiatives for the year: Material cost deflation, lean productivity, and sales funnel improvement, continued favorable progress in Q2, with additional expertise in place to drive future revenue growth. During Q2, we were able to pay down our acquisition debt by over 52%, which will significantly decrease our interest expense going forward and allow for future accretive M&A. As a result of our strong operational performance, I am happy to report that Ultralife was included in the Russell 2000 Index this year, which will enhance our profile in the investment community, which is something Phil and I are focused on. I will now turn it over to Phil to talk through the detailed numbers.
Phil Fain: Thank you, Mike, and good morning, everyone. Earlier this morning, we released our second quarter results for the quarter ended June 30, 2024. We also filed our Form 10-Q with the SEC and updated our investor presentation in the Investor Relations section of our website, which includes a summary and status of our transformational new products. Consolidated revenues totaled $43 million compared to $42.7 million for the second quarter of 2023. Revenues from our Battery & Energy Products segment were $36.7 million compared to $33.9 million last year, an increase of 8.3%. This growth was driven by very strong performance in our sales to government defense and medical markets, which increased 30.5% and 20.1%, respectively. These increases were partially offset by a decline of 10.9% in oil and gas market sales. The sales split between commercial and government defense for our battery business was 75-25 compared to 78-22 reported for the 2023 full year. And the domestic to international split was 53-47 compared to 49-51 for the 2023 full year, demonstrating heightened domestic demand for our core products and the continued success of our global revenue diversification strategy. Revenues from our Communications Systems segment, of $6.3 million, declined 28.7% from the $8.8 million we reported last year, primarily attributable to shipments in the 2023 period of vehicle amplifier adapter orders to a global defense contractor for the U.S. Army and have integrated systems of amplifiers and radio vehicle amounts to a major international defense contractor, for which shipments have been delayed from earlier periods due to supply chain disruptions. On a consolidated basis, the commercial to government defense sales split was 64-36, identical to that reported for the 2023 full year. Our total backlog exiting the second quarter was $93 million and remains diverse in nature across our commercial and government defense customer base. The replenishment rate remains high, and the backlog represents 55% of TTM sales. Our consolidated gross profit was $11.6 million, up 9.2% over the 2023 period, far eclipsing the 0.7% increase in revenues. As a percentage of total revenues, consolidated gross margin was 26.9%, a 210-basis point improvement over the 24.8% reported for last year's second quarter. Gross profit for our Battery & Energy Products business was $10 million compared to $7.5 million last year, an increase of 32%. Gross margin was 27.1%, an increase of 480 basis points from the 22.3% reported for last year's quarter and an increase of 140 basis points on a quarterly sequential basis. The year-over-year and sequential increases were primarily due to higher cost absorption and more efficiencies resulting from our concerted efforts to level-load production more evenly across the 2024 quarter, as well as improved price realization. For our Communications Systems segment, gross profit was $1.6 million compared to $3 million for the year-earlier period. Gross margin was 25.6% compared to 34.5% last year, primarily due to sales product mix and factory volume. Operating expenses were $7.6 million, an increase of $0.7 million, or 10.4% from the year-earlier quarter. As a percentage of revenues, operating expenses were 17.8% compared to 16.2% for last year's second quarter. The increase is spread evenly among investments in new product development, addition of experienced sales resources to drive future growth, and executive bonus accruals, which were not recorded in the 2023 second quarter. The leverage provided by our 210-basis point gross margin improvement resulted in an increase in operating margin to 9.1% compared to 8.6% for the 2023 second quarter. Other income, reported below operating income, includes $0.2 million as a preliminary payment from our insurance carrier pertaining to the cyberattack which occurred in the first quarter of 2023, with a considerably larger amount remaining in review with the carrier. Other income for the second quarter of 2023 includes an employee retention credit of $1.5 million under the CARES Act of 2020 and The American Rescue Plan of 2021. We are still waiting to receive our ERC refund plus the interest earned on this amount from the IRS. Our tax provision for the second quarter was $0.9 million versus $1.4 million reported for the 2023 quarter, computed on a GAAP basis at statutory rates. Including the impact of interest expense to help finance the Excell acquisition and foreign currency gains and losses, net income was $3 million, or $0.18 per share on a GAAP fully-diluted basis. This compares to net income of $3.3 million, or $0.21 per share for the 2023 quarter, which included $0.07 per share net of GAAP taxes from the recognition of the ERC. Excluding the provision for non-cash U.S. taxes expected to be fully offset by our net operating loss carry-forwards and other tax credits, adjusted fully-diluted EPS was $0.22 per share for the second quarter of 2024 compared to $0.29 per share for the 2023 period, which included $0.10 per share from the ERC. Adjusted EBITDA, defined as EBITDA, including non-cash stock-based compensation expense, was $5.4 million, or 12.6% of sales, compared to $6.3 million, or 14.7% for the prior-year quarter, which included $1.5 million for the ERC. On a TTM basis, adjusted EBITDA is $18.9 million, or 11.2% of sales. Turning to our balance sheet. We ended the second quarter with working capital of $63.2 million and a current ratio of 4.1 compared to $66.5 million and 3.8 for 2023 year end. A highlight of the second quarter was the reduction of our debt by $13.2 million, or 52.2%, from $25.3 million to $12.1 million. This reduction, on top of a $3.6 million reduction in accounts payable during the quarter, was primarily driven by our continued strong operating results, the favorable impact of the level-loading of our operations, resulting in more consistent customer remittances, and the $2.4 million reduction in inventory. The paydown of our debt has a significant impact on our EPS, as each $1 million reduction reduces interest expense by approximately $18,000 per quarter. So the $13 million paydown of debt should lower interest expense by $234,000 in the third quarter, excluding any further paydowns, and equates to $0.01 of GAAP EPS and $0.015 of adjusted EPS. Accordingly, our focus is to continue the heightened pace of the paydown of our debt. Going forward, our backlog, diversified end markets, growth initiatives, and ongoing actions to improve our gross margins, while further strengthening our balance sheet, position us well to realize the leverage of our business model. I will now turn it back to Mike.
Mike Manna: Thank you, Phil, for the detailed review of the Q2 results. As I mentioned on previous calls, we have 3 major 2024 priorities to accomplish. First, continued material cost deflation. In Q2, we favorably negotiated our main logistics contracts and expect to realize positive savings of a few cents per year based on current volumes. We continue to work on combine and pull systems with key suppliers to smooth material and cash flow and positively impact inventory turns. Secondly, lean productivity. Continue to reduce waste and inefficiencies in all of our processes throughout the business. We have hired a 25-year lean process veteran in our Newark location to focus on improving manufacturing and back-office efficiencies throughout the organization, with a target of decreasing labor 3% to 5% on several of our high-volume lines. Lastly, sales funnel improvement. We have a larger and increasing pipeline of new products with a healthy funnel of sales opportunities that needs to continue to grow. To that end, we have hired 2 additional sales resources to focus on large program wins with key OEM partners, driving commercial sales growth of both custom and Ultralife branded products. One sales resource is a 30-year battery industry veteran, where the other joins us from a major medical device manufacturer. We are currently transitioning multiple CRM systems to a new global CRM system to better manage global opportunities and funnel status. Next, I will give updates on the organic growth projects and new product development underway for the businesses, which are key to future sales and market expansion. Our Communications Systems business continues to ship EL8000 server cases to several customers, and we are working diligently to elevate our partner status level, which will enable us to work more collaboratively with other partners on the integration and engineering projects within the organization. As I have noted in past calls, we have several new exciting next-generation amplification products underway and nearing completion. We are completing validation and testing on a new amplification product with several international customers. This product is targeted to be radio-agnostic with an optional test and maintenance package to support customer sustainment, and we expect it to be available for production orders by the end of the year. Meanwhile, we are advancing our next-generation high-performance amplifier engine to be used across all advanced radio platforms. This advanced amplifier continues our heritage of small, high-power, high-efficiency man-worn amplification products in the Ultralife family of brands. And lastly, we received a follow-on $5.5 million IDIQ from the U.S. government to continue its purchase of radio power supplies and mounts for vehicular modernization initiatives and logistics support contract of $3.1 million, supporting field and amplified and non-amplified vehicle communications platforms. On the Battery & Energy side of the business, we're excited about the opportunity funnel growth across a variety of new and existing products, and are optimistic we'll see incremental orders this year. As previously mentioned, we have production equipment in place for our Thin Cell to support customers in the medical wearable space and several applications in Bluetooth tracking. The sales funnel is strong with multiple projects in the qualification phase, primarily in the medical application space. We expect further updates on qualification and forecast in Q3 as our customers continue their qualification and commercialization efforts. The 123A product line, currently supporting IoT and illumination markets, has seen opportunity funnel growth in medical battery pack assemblies, both with domestic and international customers. We continue to make improvements in both the CR123A and XR123A products to reduce costs and increase performance as we quote opportunities. Our improved Thionyl product -- the Thionyl Chloride product line, targeting monitoring and telemetry applications, continues qualification and field testing with several customers and are currently in commercial discussions and quality reviews of manufacturing locations. With respect to the conformal wearable battery, the U.S. government has ended our program, coincident with the expiration of the 3-year base contract, due to lack of visibility for long-term production volume because of delays and technical issues with the integrated visual augmentation system program, known as IVAS. Nevertheless, we are continuing to develop this product to support several allied government and defense customers and believe our investment in the product will pay off long term as we've already received a $270,000 order from an international customer. Sales funnel and opportunity pipeline growth in both businesses continues to be key for 2024. And I expect with the added focus and resources, we will continue to expand our aperture and opportunity wins. We continue to work on our key gross margin initiatives and expect to see steady improvement as CapEx investments, lean projects, and material efforts continue to enter our production lines. We expect to strategically pay down our debt throughout 2024, balancing debt paydown with other business investments to support our key objectives as we concurrently look for possible accretive acquisitions. Thanks, everyone. That concludes the prepared remarks for today. Now back to the operator for questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from the line of Josh Sullivan from The Benchmark Company.
Josh Sullivan: Glad to listen on the results here. Just maybe starting off, looking at the impressive debt paydown in the quarter, how should we think of free cash generation going forward? Can we stay at these levels? And then maybe what are the priorities for cash?
Phil Fain: Well, certainly, the level-loading has been a major help for us. And it was just a matter of time before we got that functioning across all the various functions. Now you can talk about level-loading in manufacturing, but that is -- it extends downward into the whole supply chain. It extends upward to the customers throughout the S&OP process, and it ends up on the balance sheet in terms of cash if it's all properly operating. And that's exactly what we saw in Q3. Payables down, meaning a more steady supply of products from our supplier, meaning an improved S&OP chain, throughout the supply base, throughout the customers, all the way through the customers. And at the end of the day, we wind up with cash sooner on a steadier basis. So the way I look at what's going to happen with debt, I mean I could tell you right now that we've already reduced our debt by a couple of million dollars in -- just in the few weeks since the second quarter ended. God willing, I expect that to continue. And then going forward, as Mike mentioned, it's a matter of balancing the paydown of the debt with other strategic spending opportunities, including the full spectrum of strategic CapEx, potential acquisitions, and anything and everything that's going to help grow our business profitably.
Josh Sullivan: Got it. And then Mike, as far as the efficiency efforts you're pursuing here on a number of levels and have over the previous quarters, what inning do you think we're in here as far as kind of your strategic plan as you look at it?
Mike Manna: We're early in the game still, Josh. I mean we're -- we've, I guess, attacked the easy things, obviously, and tried to get those quickly mitigated in functioning and producing results. There's things in all of our businesses. We've done a -- I'll start with the back office side. The back office, we've had a host of acquisitions over the last decade. They've been at different levels of integration and whatnot. We have a new CIO that we brought on board almost a year ago now, well, 9 months ago. And one of our functions there is to really get all the locations really functional as one. So we can all share systems and collaborate properly and get rid of some of that waste and multiple licenses at multiple facilities, et cetera, et cetera. And then you've got the operations. And we're -- it takes time to go through the variety of products we have and actually lean things out. So we're starting with the things that we think are going to give us the biggest bang for the buck right upfront. But with all lean journeys and efficiency journeys, they never really end because as you get done with leaning it out once people get better at doing their jobs, they find better ways to do things. And all of a sudden, you're in a line in balance situation and you need to really rebalance the line again. So it's a continual process. But we're in anything like 2 out of a 9-inning game.
Josh Sullivan: Got it. And then on the -- within the battery segment, the products in the government and defense that are driving some of the near-term strength, as we look at the 2025 defense budget, do you feel this type of growth can continue?
Mike Manna: Well, there is a review on the 2025 budget, there's really no, what I would call, significant decreases in any of the programs that we're involved with through our prime customers. So we don't expect to see a dramatic change to that short term. But it's also -- part of it is we're hostage to our customer supply chain difficulties as well. So if they're not pulling product, we're not selling products. So it's a two-way street there.
Josh Sullivan: Got it. And then just on the decline in oil and gas. Anything going on there cyclically? Is there anything in the offshore activity that we should be thinking about?
Mike Manna: For us, it really seemed like it was more of an overbuy with one customer that -- 1 or 2 customers towards the end of late last year, and then some reorganization in their part where I think they got a little bit flat-footed, and we expect to have volume to rebound pretty well in the back half of the year. But who knows on that stage, a lot of things can happen in the oil and gas market over the next couple of years.
Josh Sullivan: Got it. And then just...
Phil Fain: And then we have, Josh, is that our oil and gas portfolio is really diversified. It's diversified between -- 50% is international, 50% domestic. And the domestic breakdown is pretty evenly split between the blue chip companies and, I guess, what I call the wildcatters.
Mike Manna: And we do a little bit of everything also, Josh. We're down-holing on the drills, but we're also in pipeline inspection, we're in monitoring of devices. There's a lot to the whole flow of oil from the ground to your car or to a plastics processing facility or wherever.
Josh Sullivan: Got it. And then as we think of the Thin Cell opportunities, the update in Q3 you're anticipating, could this be a major gating event? And then how quickly can you ramp up to support that product?
Mike Manna: Well, we always hope it's going to be a major event. I mean -- and to be clear, I mean, all these initiatives are relatively in production stage, and we are selling all of the products. It's just, I would say, we haven't landed that, what I would call, anchor customer where it's an announceable type of an event that would make people excited. So we're going through a lot of different calls with a few different customers. And they have to get through all their stuff with the FDA and whatnot before they're going to pull from us. Again, we're not driving the bus, so to speak. So it's frustrating. I wish it would happen quicker. But I've been involved in the medical side for a lot of years, and one of our largest medical customers that we now have, it took 6 years for us to really start seeing any real production volume. So I also know it takes time.
Josh Sullivan: And then on the new sales resource investments, where are their efforts going to be? Maybe what are they shading in areas where you couldn't touch before?
Mike Manna: Well, the first resource I mentioned, the industry veteran, I mean, he's really focused in on how do we move Thin Cell, how do we move Thionyl. I mean, how do we get into some of these bigger accounts. And we've we need to have more conversations going with bigger OEM customers. And that's really where his focus is. If we get in the door and have the conversations, we have the technical people that can offer a solution. And as far as the manufacturing side, we're pretty agile and able to respond very quickly. So I think once we get those conversations going, we're going to be much better. The second resource, she's really focused on some of the major medical companies that we don't necessarily have relationships with. I look at the top 100 device manufacturers in the medical space, and we have some relationship or sales with probably 20% of them. So there's 80 major medical device manufacturers that we have to go out and we've got to develop the relationship. And she's got a list and she's going out to do just that.
Josh Sullivan: And then I guess just one last one on the IVAS battery. Just given the increasing need for power by foot soldiers kind of globally, you mentioned some international efforts there, but could you just expand on why you're continuing to invest and maybe what other programs you see where that technology could be used?
Mike Manna: Well, all our technology, we try to develop it so that it's agnostic and it's a toolkit in the -- or, a tool in the bag, so to speak. So we've learned a lot going through the conformal development. We've been developing various versions of this battery for the last 12 years. We sell one and have been selling one version or UBBL35 for the last decade. And we think that there's going to be need for conformal. We want to recoup, obviously, some of the investment that we've made in developing the technology. But on the military side, the power is going to – like you said, it’s going to continue to be more and more needful. The power requirements are not going away. The conformal is a premium product. And we still sell a lot of Land Warrior batteries because the price point per energy is just way better. And we expect that we want to be a complete soldier supplier – soldier power supplier. So we’re going to have a conformal in our product portfolio, along with some of the legacy Land Warrior battery products.
Operator: Thank you, Josh. [Operator Instructions] I'm showing no further questions. I'll now turn the conference back to Mike for closing remarks.
Mike Manna: All right. Thank you. Thanks for listening to today’s call. We look forward to talking to you all next time during the 2024 Q3 earnings call. Bye now.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.